Operator: Good afternoon and welcome to the Rave Restaurant Group Inc. Second Fiscal Quarter Earnings. All participants will be on listen-only mode [Operator Instructions]. Please note this event is being recorded. I would now like to turn the conference over to Tim Mullany please go ahead.
Tim Mullany: Okay, thank you and good afternoon everyone and thank you for joining the Rave Restaurant Group quarterly earnings call for the second fiscal quarter of 2017. Everyone should have accessed to our second quarter fiscal 2017 earnings release that we initially released this morning and reissued this afternoon, which can also be found at raverg.com in the Investor Relations section. Before we begin, I would like to remind everyone that part of our discussion today will include forward-looking statements. These forward-looking statements are not guarantees of future performance and therefore you should not put any undue reliance on them. These statements are also subject to numerous risks and uncertainties that could cause actual results to differ materially from what we expect. We refer all of you to our recent SEC filings for a more detailed discussion of the risks that could impact our future operating results and financial condition. Please note during today’s conference call we will discuss certain non-GAAP financial measures which we believe can be used for evaluating our performance. Any discussion of such information should not be considered in isolation or as a substitute for results prepared in accordance with GAAP and reconciliation of comparable GAAP measures available in our corrected earnings release. With that I would like to turn the call over to our newly appointed Chief Executive Officer, Scott Crane.
Scott Crane: Good afternoon everyone, thanks for joining us today. I just want - a couple more quick words why I joined the brand. I’m real excited for Pie Five and the enormous potential that it has, as well as the heritage behind Pizza Inn. I grew up as a [indiscernible] pizza and so I’m excited to be part of that as well. With that said, trends around the country in the restaurant business continue to be challenging. Last quarter reflects that and especially in the Pie Five system we are aggressively exploring a bunch of bold new strategies actually to improve profitability, while also be addressing underperforming markets that continue to be drag on the Company’s overall profitability and performance. Although Pizza Inn saw some sales retraction this quarter, it’s great to see that we continue to see overall success and progress. The Pie Five system continues to add location and is addressing sales trends and primarily AUV average unit volumes. The entire management team is committed to improving innovation, education, communication and consistency in operations. As this brand develops tightening of operational systems and procedures to provide a better guest experience to address the decline in comp sales in the quarter was a result of declines in both company-owned and franchise [indiscernible] store based. We continue to see strength in core markets, but also believe that increased competition within the fast-casual segment and general industry softness has contributed to weak sales trends within the Pie Five system. As such we are implementing several new service product in marketing and initiatives addressed negative traffic trends at Pie Five and lift the sales volumes. In general, we are dedicating time and resources to initiatives that we believe will deliver in the most potential add sustainable sales drivers and also include maximizing the potential of new sales platforms and adding occasions to dine with us. We are also very focused on improving the customer experience and have rolled out directive design to increase our effectiveness in this area including increased throughput and menu innovation. We know it’s a right approach for our company stores and our franchisees as a whole. The pace of development, the Pie Five system continues to grow. During the quarter we opened seven new franchise restaurants in Indiana and Missouri, Oklahoma, Tennessee and North Carolina. In addition, the great news we anticipate our first airport location opening later this spring in Baltimore. While we continue to focus on our performance and continue to support the growth of the Pie Five franchise system. Furthermore, we’ve incurred cost and closed several underperforming units and temporarily pulled back on company store development outside the DFW market which we think is prudent to be doing at this time given our need to focus more in management resources on addressing the current sales trends in the entire system. Pizza Inn continues to make headway despite the challenge in restaurant [indiscernible]. With relatively flat comp sales are starting to consign the renewed energy in many key markets. Through energize franchisee engagement and the addition of initiative such as the new loyalty program and refresh branding we’re revaluing the Pizza Inn as an additional grow vehicle for Rave. We’re establishing the sustainable growth path for the legacy brand through continued remodels and store openings. We’ve been very encouraged with the performance of recent new and remodeled Pizza Inn franchise restaurants. During the quarter we opened one at Bay location, while closing two existing and we opened one express unit, excuse me. Rave Restaurant Group is two distinct concepts with their own paths and Pizza Inn continues to be an important part of Rave’s potential for creating shareholder value and I’m going to turn this back over to Tim. Thanks everybody.
Tim Mullany: All right, thank you Scott. So for the second quarter total revenues declined by 3.4% to $14.8 million driven by four fewer operating company Pie Five locations opened compared to the same period of the past year and a decline in comparable restaurant sales at the Pie Five brand. As of the end of the quarter, we had 99 total domestic Pie Five units and a 161 domestic Pizza Inn units with 60 international Pizza Inn units. Pie Five comparable restaurant sales decreased 17.4% with 44 of those restaurants in a comp base which represents 44% of the total brand restaurant count. Pizza Inn domestic comparable restaurant sales decreased to 1.2% with 150 of those restaurants in a comp based which represents 92% of that brands total restaurant counts. The sales trends that we experienced at Pie Five and Pizza Inn in the second quarter generally have also continued so far into the current quarter. Pie Five total domestic retail sales increased 9.7% primarily driven by growth within the franchise system. With a 57% growth in the average number of franchise units opened compared to a 7% decrease in the average number of the company units opened in each case compared to the same period of the prior year. Consequently franchise retail sales improved by $2.1 million for the same period of prior year versus company-owned unit retail sales decreasing $816,000 over the same period. On the Pizza Inn side domestic retail sales increased from $21.5 million to $21.6 million or 40 basis points, well our franchise buffet units which make up 91.6% of total system-wide sales increased by 1.6% which we think is significant which is offset by our lower volume Delco, Express locations in our single company-owned buffet restaurant. Average number of franchise buffet locations decreased from 96 to 95 in the current three month period over prior year and average Delco, Express units decreased from 69 to 64. Food and supply sales increased as percentage of total revenue by 4.3% to 61.7% while franchise revenue increased by 40 basis points to 9.8% compared to the same period of prior year. The remaining company restaurant sales revenue of 28.6% was 4.6% below the same period of prior year. Impairments other lease charges and non-operating store costs had the greatest impact on overall earnings in the second quarter compared to the same period of prior year with an increase of $4.1 million to $5.1 million. As a percentage of restaurant sales this is a change from 20.7% to 126.1%. Restaurant operating cash flow decreased $300,000 to negative $56,000 driven by sales deleveraging and increases in the cost of sales. As with prior quarter sales Pie Five sales levels of newer company restaurants outside of the DFW market continue to be below average which combined with decline in sales from all the corporate stores drove the decline in restaurant operating cash flow. Net loss increased $3.1 million to $7.9 million or $0.74 per diluted share compared to net loss of $4.8 million or $0.45 per diluted share in the prior year period. In addition to the impact of restaurant operating cash flow; impairments, other lease charges and non-operating store costs already discussed the company realized executive search fees and bad debt expense of $514,000. The company did benefit from a decrease in pre-opening costs of $257,000. Adjusted EBITDA decreased in the second quarter to negative $1.2 million compared to positive $61,000 in the same period of the prior year primarily due to the margin contraction at Pie Five company restaurants an increase in G&A costs of $481,000 and the executive search fees and bad debt expenses mentioned previously. At quarter end we had a cash balance of $1.1 million and $1 million of short-term debt. Year-to-date through the second fiscal quarter our cash used in operating activities was $1.6 million versus cash provided in the same period of prior year of $1.5 million. We had capital expenditures of $217,000 compared to $6.5 million in the same period of prior year as we refocus our efforts on improving unit economics of existing stores. Regarding cash flow from financing activities, we do not sell any stocks throughout the second quarter of fiscal 2017, but received $806,000 from proceeds of stock options in the first quarter as well as $1 million loan received from New Castle Partners in the second quarter. RAVE has announced rights offering for up to $3 million of its 4% Convertible Senior Notes due in 2022. Pursuant to the rights offering, existing RAVE shareholders have the opportunity to purchase their proportionate share of the convertible notes at the par value of $100 per note. The subscription period is presently scheduled to terminate at 5:00 p.m., Dallas time, on February 13, 2017, but may be extended by the Company for up to 30 days. The terms of the rights offering and RAVE the convertible notes are described in the final prospectus that has been filed with the SEC and is also available at our website in the Investor Relations section. As a reminder, we disclose a great deal of brand-specific financial and operating performance in our quarterly earnings release tables and in our SEC filings. This information includes brand-specific comp and non-comp restaurant average unit volumes and income statement line item details and various explanations. Our Form 10-Q filed with the SEC earlier today. In closing, while the second quarter of 2017 continued to be challenging we’re energized to the opportunities that we see ahead for both brands and are happy to welcome Scott to the team. We will continue to focus on improving or exiting underperforming sites in our portfolio of company-owned stores and we expect to limit capital expenditure in the back half of fiscal year as we implement performance improvement initiatives. With that I’m going to turn it back to the operator to open it up for questions. Thank you.
Operator: Thank you [Operator Instructions] our first question is from John Gilliam at Point Clear Strategic Capital.
John Gilliam: Good afternoon, gentlemen. Wondering if you can provide a little color on the performance of the locations that have started offering the online and app ordering? My understanding that this is a small part of the current Pie Five footprint but just wanted to see given idea if you have, a feel if that’s making a material difference in sales and also get an idea of the timeframe you expect to roll that out across the rest of the footprint.
Scott Crane: Thanks for the question, John. That’s a good one. I would say that there are several components of what we deem online ordering we have, just anything that comes through mobile device or we also have online dispatch which is a delivery service and then we also utilize third-party services that process orders online. So in that context what we would say is that, a significant portion of our overall system wide store portfolio is participating in this program and we’re actually seeing stores added to this each period. So we’re hopeful that by the end of the fiscal year we’ll have a strong majority of our stores in this particular program, but the early results and they started trickling in November. So the early results that we have for the stores that are currently active with this program are very encouraging and are about industry standard as far as what you would expect for online sales. And like I said we’re seeing an upward trend of that, so we’re very encouraged entirely from the initial results.
John Gilliam: Thank you.
Operator: At this time, we show no further questions. Would you like to make any closing remarks?
Scott Crane: No, thank you everyone and we look forward to talking to you on our next investor call.
Operator: The conference is now concluded. Thank you for attending today’s presentation. You may disconnect.